Steve Hare: Hello and a warm welcome to Sage's 2021 Full Year Results. Now, before I hand over to Jonathan for the financial review, I'd like to start with an overview of our key messages for today. Starting with our performance during the year, Sage performed strongly in FY '21, and I'm really pleased with what we've achieved. Having decided to invest more in the business, we accelerated growth, building momentum in all regions. We grew recurring revenue by over 5% and annualized recurring revenue by almost 8%. And importantly, this was driven by cloud native ARR growth of 44%. The fastest it's been since 2017. We've added £140 million of ARR from new customers. And that's more than 50% higher than FY '20 and supported by a continued strong performance in cloud connected, Sage Business Cloud revenue has now reached £1 billion up 19% on last year. On our strategic progress, we've continued to transform the group over the last three years. We've invested in our people, our customer experience and our technology, to build a strong platform for sustainable growth. And I really like to thank all of our colleagues and partners for their hard work in serving our customers and supporting each other over this last year. And finally on to our priorities, the market opportunity for Sage is growing. Small and mid-sized businesses are investing more in digital technology to enhance their resilience, flexibility, and productivity. And as we build on our progress to capture this opportunity, we've refreshed our strategic priorities to drive Sage forward into its next phase of growth. Now I'll come back to talk about our progress and our priorities later in the presentation. But for now, I'm going to hand over to Jonathan for the financial review.
Jonathan Howell: Thanks, Steve, and good morning, everyone. I'm pleased to share with you today our full year results. In summary, we've executed well in FY '21 and make good strategic progress in line with our plans. So starting with the highlights, it's been another strong year for Sage with performance ahead of expectations at the start of the year. Firstly, we've delivered recurring revenue growth of 5.4% in line with our guidance. This was driven by strong levels of new customer acquisition across Sage Business Cloud with particular strength in cloud native. Secondly, operating margin was 19.3% as expected. This is almost 300 basis points lower than FY '20 as we increase the level of investment to accelerate growth. And finally, cash conversion has remained strong at 126%. This is now the third consecutive year above 100%. Adding some color to our growth drivers. It gives us a sense of the level of progress we've made in the year. ARR grew by 8% up from 5% in FY ‘20, reflecting the accelerating momentum from Sage Business Cloud. In addition, as Steve said, we saw particularly strong cloud native ARR growth of 44%, up from 26% last year. Renewal rate by value was 99% with churns slightly below pre-COVID levels. Cross-sell and up-sell also increased during the year, supported by our growing digital network. Sage added £140 million of ARR from new customers up from £90 million in the prior year demonstrating the impact of the increased investments we have made. This indicates growth is well balanced between existing and new customers. And this success creates strong momentum as we enter FY ’22. Turning now to the P&L, as usual, all numbers are on an organic basis. Total revenue growth was just over 3% for the year driven by recurring revenue growth of 5% to £1.6 billion. Organic operating profit is £343 million at a margin of 19.3%, reflecting our planned investments. Whilst underlying operating profit is £358 million leading to an underlying EPS of £23.09. And our final dividend of £11.63 is up 2.7%. This takes the full year dividend to £17.68, an increase of 2.5% in line with our policy. Let's now look at the full year performance in more detail, starting with the drivers of revenue growth. Our focus remains on growing Sage Business Cloud and in line with this, growth was sum of £162 million or 19% in the year, both cloud native and cloud connected have delivered a strong performance growing by £74 million and £88 million respectively. Importantly, a large proportion of this growth has been driven by significant levels of new customer acquisition. Migrations also continue to drive growth mainly in our cloud connected solutions, accordingly revenue to be migrated decreased by £56 million. The impact of all this is Sage Business Cloud penetration, which is now 67%. This is up from 60% last year with an increasing number of customers in Sage’s digital network. Turning to the revenue categories, as you can see, both recurring revenue and subscription penetration have continued to trend upwards. Recurring revenue penetration is now at 92%, while subscription penetration has reached 70% up from 65% in FY ’20. This is driven by the growth in recurring revenue of 5% with 11% growth in software subscription to £1.2 billion. As a result, other recurring revenue and non-recurring revenue continue to decline by 10% and 18% respectively. This demonstrates the growing quality in our revenue base, as we progress through our transition. Looking at the portfolio view of revenue, the future Sage Business Cloud opportunity continues to show a strong performance with recurring growth of 8%. And as I mentioned, Sage Business Cloud penetration is now at 67%. As you can see the pace of growth in both cloud native and cloud connected is significantly ahead of the group as a whole. Recurring growth of 35% in cloud native to £286 million is driven primarily by new customers and migrations, this means cloud native solutions now represents 17% of total recurring revenue, up from 14% last year. Cloud connected revenue has grown by 14% for £712 million, which is underpinned by a good performance in the international region and recurring revenue in the non-Sage Business Cloud portfolio decrease by 12% to £150 million in line with our expectations. We've seen growth accelerate during the year across our regions. Starting with our largest region North America, here, we delivered recurring growth of 7% driven by the strong performance in the medium segment. Sage Intacct continues to be the standout performer growing recurring revenue at 22%. This is driven by high levels of new customer acquisition, demonstrating strong win rates against our competitors in the market. In addition, the Sage 200 franchise continues to contribute to overall growth. And the impact of all this is Sage Business Cloud penetration of 73% up from 71% in the prior year, Northern Europe had recurring revenue growth of 4%. Growth in cloud native products has accelerated during the year. With success in the small business portfolio, particularly new customer wins in Sage Accounting. This is supported by further growth in Sage 50 cloud connected. Sage Business Cloud penetration is now at 86% up from 81% last year, reflecting the high levels of cloud adoption in the region.  And finally, the international region, which live at recurring revenue growth of 4%, this was underpinned by particularly strong growth in Sage Business Cloud penetration, now at 47% compared to 35% last year. The good performance in France and Germany is driven by good growth across the Sage Business Cloud. And Africa and APAC delivered strong recurring growth of 9% with momentum in cloud native, building through Sage Accounting and Sage Payroll Cloud. This was offset by decline of 2% in Iberia reflecting reduction in maintenance and support revenues. We've continued to accelerate our strategic investment during the year. In line with our plans, the key areas of focus have been investment in sales and marketing, which is focused on driving efficient new customer acquisition in our key territories. This is now at 42% of recurring revenue and increase of 150 basis points and investment in product development, which grew by 120 basis points and is now at 16% of recurring revenue. This is focused on the Sage Business Cloud digital network and our AI capabilities. We've maintained a disciplined approach to investments. Accordingly, G&A spend is around 11% of recurring revenue and remains unchanged from last year. And importantly, while we continue to invest for success, we expect our level of spend to increase at a slower rate than revenue. As a result, margin is expected to trend upwards in FY '22 and beyond. Turning now to the cash flow, cash generation remains core strength of the business. The group generated £451 million of cash from underlying operations, resulting in cash conversion of 126%. This is now the third consecutive year above 100% working capital improvements are again the key driver of this, mainly due to our growth in subscription revenue and continued strength in data collections. And free cash flow is £339 million, which is net of interest in tax. This in turn has driven a robust balance sheet underpinned by cash and available liquidity of £1.2 billion and leverage of 0.6 times. In FY ‘21, we've executed on a number of investments and acquisitions, including BrightPearl, Task Sheriff and GoProposal. And reflecting disposal proceeds, we're returning a total of £600 million through our share buyback programs. Alongside this, we announced today an increase in our dividends of 2.5% for the year. Our capital allocation policy remains unchanged. Importantly, we retain significant capacity for future capital priorities, support both organic and inorganic growth. And as we execute against this, we expect to move back within the target range of one to two times. And so to recap, this has been another strong year of strategic execution for Sage. High quality recurring revenue growth of 5% is underpinned by acceleration in Sage Business Cloud. Whilst our operating margin of 19.3% reflects our additional strategic investments. And finally, another period of strong cash conversion at 126%. Thank you. And now hand back to Steve.
Steve Hare: Thanks, Jonathan. Now, before I look forward, I want to reflect on our achievements over the last three years. We've made strong strategic progress since 2018 through our investment and the decisions we've taken, we've transformed Sage into a more focused, higher quality business. Firstly, we focused on the needs of our customers, moving them to the cloud, helping to solve their pinpoints and driving lifetime value for both the customer and Sage. Secondly, we've invested significantly to grow through technology and innovation, increasing cloud native ARR to almost £350 million. And this growth has accelerated in FY '21. Third, we've reinvigorated our culture and colleague experience with colleague NPS more than 60 points over three years. And finally, we've simplified the group. We've restructured the organization to focus on growth areas and we've sold non-core businesses, generating sales proceeds of over £500 million. And as I said in our half year results in May, our disposal program is now largely complete. So in short, we've made great progress, transforming the business, creating a strong platform for further sustainable growth. And our objective now is to grow both revenue and earnings in absolute terms. So we've built real momentum and we're well-positioned for the current market opportunity. Now with about half our revenue coming from small businesses and about half from medium or mid-sized businesses, we also have a broad footprint across multiple markets. And this breadth gives us really good insights into SMB trends globally, which helps us to serve them better and champion their interests. And what we see currently are three key trends. First, digital adoption has continued to accelerate. CFO’s say this will be their number one priority for the foreseeable future. The productivity gains that technology brings are mitigating inflationary forces and a supporting growth. Secondly, SMBs are increasingly aware of the value of the data. They know they could be learning more and growing faster with better data analytics. And finally, SMBs increasingly think about their impact on society. Almost all SMBs tell us that having a positive social and environmental impact really matters to them and they want to work with other companies like Sage who share these values. And all this means that the opportunity for Sage just continues to increase. So building on our progress so far and reflecting these trends, we've refreshed our strategic framework. Our focus continues to be on supporting and championing SMBs, but we've evolved our purpose and ambition. And we set out more explicitly our priorities for growth. So on this slide I'm going to run through a brief overview, before going into more detail on the key elements of the framework later in the presentation. Now, as always, I'll begin with our purpose. This expresses why we do what we do. It starts with our customers. We create solutions that make their lives easier, removing friction from their organizations and delivering insights, SMBs power, the economies around the world, creating two-thirds of all new jobs. So by helping them thrive, we also enabled them to contribute to sustainable inclusive growth and a more balanced economy. And that's why our purpose is to knockdown barriers so that everyone can thrive. Our ambition is our work. It expresses how we serve our purpose and what we want to be. And our ambition is to be the trusted network for small and mid-sized businesses, delivering an integrated experience of digital and human connections. Sage’s network will facilitate a smooth flow of work and money between organizations and everyone they need to connect with. It will offer simple, seamless and unified ways of working. And while the foundations of the network are digital, our technology connects people and Sage’s human approach is core to what we do. We will drive our ambition through five strategic priorities, which I'll run through shortly, but these are the areas that will have the greatest impact on our growth. Our stakeholders are front of mind for every decision we take, their engagement is key, and together we seek to create mutual success. And finally, our strategic framework is underpinned by our values. The most important of which is simply we do the right thing. So let's turn to our ambition to be the trusted network for small and mid-sized businesses. Sage today does more than just help businesses with their accounting, HR, and payroll. We also connect organizations with their customers, suppliers, accountants, regulatory bodies, employees, and banks, providing online services, including banking, payment and compliance services over a digital network. And we continually aim to make the digital experience richer. So for example, by introducing new features and more valuable services, we can enable customers to automate more workflows and so free up time to build their businesses. And by enabling innovative applications, we can help customers overcome challenges and benefit from better business insights, all underpinned by using verified digital identities and a shared ledger based on a centrally managed blockchain we create trust between network participants. As the experience becomes richer, we attract more customers. This means more network activity, and therefore more data. Through artificial intelligence and machine learning, more data powers the insights that we need to build, more innovative and compelling customer experiences. This in turn attracts more customers to the digital network. This is our strategic flywheel driving innovation and ultimately the growth of the group. And the reason this is such an opportunity for Sage is that we already have access to huge amounts of data. So for example, we estimate that over 10 billion invoices are sent and received by Sage customers’ annually. Sage payroll and Sage HR solutions reach tens of millions of employees globally, including 25% of all employees in the UK. In Sage Intacct alone, we’re managing 65 million customer records and 35 million vendor relationships and this is growing at a rate of about 50% per annum. So thanks to the scale of our existing customer base and our trusted relationships, we already have the components to power the flywheel. And it's important to note this new architecture doesn't replace us. It extends, enhances and connects SaaS products and services by creating trusted relationships between SaaS tenants. And as we continue to build out connections, the network will get better all the time. So let's turn to our strategic priorities. Sage Intacct is central to our medium segment proposition. In FY ‘21, we invested significantly enhancing the product, increasing sales and marketing and transforming distribution. Adding over 20 new partners, including PWC and as a result, momentum is growing, with Sage Intacct, adding more than 2,000 new customers across the group. The most ever in a single year and more than 50% higher than last year. Outside North America, where Sage Intacct is just beginning to scale, ARR is now more than £6 million. One of Sage Intacct strengths is its flexibility to integrate with popular third-party software vendors. So for example, Rapid Ratings, a U.S. based risk analytics business that I spoke with recently implemented Sage Intacct after outgrowing a competitor product. They wanted it to streamline their finance operations and help them grow. And they're now benefiting from a seamless integration with sales force, leading to accelerate a client billing and a 40% faster close process. To drive further scale, both in North America and globally, we're investing to expand Sage Intacct reach in existing and new industry verticals. We're doing this organically, for example, in construction and real estate and through partners such as BrightPearl in retail and e-commerce, and we're continuing to broaden our distribution channels. Our next priority also relates to the medium segment, where we have the opportunity to leverage us strong position in financial management, to expand into adjacent areas across finance, planning, and HR. And one example of where we've done that is with Sage Intacct planning, a powerful budgeting tool, which boosts average contract values by up to one-third. This product's about 10% penetrated across the Sage Intacct base, but it's gaining rapid traction with sales up almost 60% in FY '21. Again, a good example is West Harbor Healthcare, a 650 employee nursing home business in Northern California. And they told us that Sage Intacct planning has cut their budget creation time by 50% and enabled better business insights that are now improving patient service levels. Now, our objective here is to deliver more solutions that address the broader challenges that CFOs face. Such as accounts payable and accounts receivable. And this will drive cross-sell and up-sell opportunities, enhancing customer loyalty and increasing lifetime value. Our next priority relates to the small segment, where we focused on growing cloud native initially in the UK, investing in sales and marketing, optimizing our e-commerce channel and deepening our relationship with accountants. As a result, grace in Sage Accounting is accelerating with new customer wins across all channels up 80% compared to last year. Sage Payroll is also accelerating, doubling new customer wins compared to last year supported by a strong attach rate to Sage Accounting. And Sage HR and AutoEntry are also growing strongly, but it's not just the capability of our software that's attracting new customers. The human side of Sage helps too. Foxglove Cocktails, a supplier of craft mixers in Cork, Ireland, who I spoke to recently, told me that Sage Accounting saves them two to three hours per day through the automated input of receipts. But they've also enjoyed the broader support that Sage provides through online learning via Sage University and through helpful advice on the phone when needed. This is a story I've heard repeated by many customers. We'll continue to support customers in digital and human ways as we represent them with policymakers and invest in the next phases of making tax digital. We're also investing in how we serve accountants. It's very important that we help accountants to run their own businesses. So we're launching a new cloud native solution for accountancy practices and we've acquired GoProposal, a client onboarding solution. These actions will significantly upgrade the Sage experience for accountants and drive advocacy. All of this has created a scalable growth engine aimed at winning and retaining small business customers. Our priority is to refine and develop our capabilities in the UK, while scaling and internationalizing the approach in other markets. When talking about our ambition earlier, I mentioned that our strategic flywheel is driven by more customers using the Sage Business Cloud digital network, because more users means more data and more insight, leading to more value. And this is already happening. Our digital network is expanding. First, Sage Business Cloud is growing rapidly with revenues up 19% to £1 billion. Some more customers are able to access the digital network. Secondly, customer engagement with our digital services is rapidly increasing with logins to Sage ID, our identity management system for the network access up by over 60% in FY '21. And third, our ecosystem of software partners and ISV is expanding. This already includes integrations with around 700 ISVs across the group, extending the reach of our products and helping to grow the network. Now further growth will come from new digital services and from new customer wins and migrations. And so we continue to invest in driving Sage business, cloud penetration and growth. So for example, in international, we've launched new cloud native products across the region, including Sage Accounting in Spain, a new solutions for mid-sized businesses in France and Germany. And we're delivering upgrade paths for on-premise products, including cloud connected offerings, as well as Sage Partner Cloud. We are scaling the digital network around the world, and this will enable our customers to connect and capture real world benefits that save them time and enable them to focus on adding value in their own business. So turning now to our final strategic priority, learn and disrupt. Continuous innovation is key to the long term success of Sage. The Sage Business Cloud digital network and the data and insight, it generates is a key enabler of innovation and Sage will continue to invest in the technology and capabilities that underpin it. And the resulting innovation from our teams from outlier detection to intelligent time sheets is delivering value to customers’ today. We are building on these foundations to accelerate momentum. So for example, we've launched an enhanced digital service across multiple products, including bank reconciliations, e-voicing, and a new tax engine. That process 7 million transactions on its first day. We're working in partnership with Tide to provide accounting and compliance as a service to small business owners. And we invested in BrightPearl, which I mentioned earlier, and accounting and banking app for sole traders. Our priority is to continue to invest in our innovation capability, so that we can create, learn from and participate in, future disruptive trends. On to our stakeholders who are key to our success and to the creation of a sustainable thriving business. As I said earlier, our purpose starts with our customers as we seek to make their lives easier, knocking down barriers to their success. And we do this, not just with our technology, but also through a human approach, building every experience with human insight and ingenuity. For colleagues knocking down barriers means improving their experience at Sage, creating opportunities and enabling every colleague to do their very best work, key to this is our focus on development and training and on inclusion and wellbeing through our thriving colleagues, support networks and our new flexible working model. On society for five years now, we've contributed directly to our communities through Sage foundation. In FY ‘21, colleagues spent 22,000 days volunteering for good causes. Now we've decided to broaden our impact by launching our sustainability in society strategy, which aims to tackle the digital divide, economic inequality and the climate crisis. This includes supporting stem skills training for disadvantaged children and helping underrepresented groups around the world to start their own business. On carbon, we've pledged to halve our emissions by 2030 and achieve net zero by 2040 across Scope 1, 2 and 3. And last month, we launched our sustainability hub, providing SMBs with advice on how they can reduce their own carbon impacts. And of course, our overriding objective through all of this is to create sustainable growth in shareholder value, but to do it the right way. So now let's move on to the outlook for the group. We expect to achieve organic recurring revenue growth in the region of 8% to 9% in FY '22, driven by continuing strength in Sage Business Cloud and by cloud native revenues in particular. We also expect other revenue to continue to decline in line with our strategy and consistent with previous guidance, organic operating margin is expected to trend upwards in FY '22 and beyond, as we now focus on scaling the group. So in conclusion, Sage is performing strongly, thanks to our investment, new customer acquisition is accelerating, while renewals and revenue expansion rates among existing customers are strong. This is driving the sustainable growth and profitability of the group. And as Jonathan said, we enter FY '22 with good momentum. We've made strong strategic progress delivering on the goals we set out three years ago, and we've evolved our strategic framework to set out more explicitly the priorities, which will drive Sage through its next phase of growth with a core strategy based around the benefits of the network. As I said earlier, our objective now is to grow both revenue and earnings in absolute terms. And we will do this both organically and through acquisitions. I am very confident that we have the right strategy and focus to drive the success of Sage for our shareholders and all of our stakeholders, now and in the long-term. Over the coming months, we intend to host a series of webinars for our investors and analysts to provide some more insight into our business and to give wider exposure to the depth and capability of our leadership team. And I really hope you'll find these helpful, but for now that concludes today's presentation. Thank you very much for being with us. And Jonathan and I would be happy to take your questions. So I'm now going to hand over to the Operator.
Operator: Thank you. [Operator Instructions] Your first question comes from the line Adam Wood from Morgan Stanley. Please ask your question.
Adam Wood: Hi, good morning, Steve, Jonathan, and thanks for taking the question and congratulations from me on a strong end of the year. I've got to two please. The first one is maybe just to dig in a little bit deeper into acceleration you've seen during the second half of the year. And I guess, especially into Q4, could you maybe just give us a little bit more detail around the renewal by value, whether it ended up at the end of the year, what you've seen there and that mix between churn and cross and upsell, and maybe similarly on the new customer activations in terms of the mix of new customers versus reactivations. And what you're saying on that side is as you came through the end of the year? And then secondly, it's interesting that the North America is the fastest growing market. I mean, I guess that's also the most competitive market for you. Could you talk a little bit about, first of all, do you think that's market growth or do you think that's the mix of the business being more exposed to cloud native? And to the extent it is cloud native, therefore, how much of a priority and how quickly you can get more cloud native products rolled out across the group and how much of a priority that is for you? Thank you.
Steve Hare: Thanks, Adam. And I'll pass over to Jonathan for the first question. And then I'll pick up the second. And actually, we'll indulge you with two questions. But we would ask that generally people ask one question. So that everyone's got time. Jonathan, do you want to kick up?
Jonathan Howell: Yes. Look, thank you, Adam, for the question. When we set out at the beginning of this year, we guided that we thought the growth would be second half weighted, and that would be driven by the additional investments that we're putting into sales and marketing and product and R&D. And that's exactly as it's turns out. And if you recall at the first half stage, we raised guidance slightly, again, at Q3, we also raised guidance. And now we've landed with 5.4% recurring revenue growth rates, which is just above where we were guiding and just above consensus. In terms of the sequential build, if you look at the ARR bills, sequential growth in the first half was 3% and in the second half, it was 5% on a constant currency basis. And so there's clear mark acceleration. We exits with ARR growth rate of around 8% and we expect that sequential growth to continue into the first half of FY ’22. Renewal rate by value, absolutely critical, and it shows that we're getting balanced growth now across the business. And as you can see in the first half, we reported 97% renewal rate by value. And if you recall that had come off slightly during the COVID, the 18 months of on and off lockdowns, however, we reported for the full year 99%, and that implies a renewal rate by value of 100% or 101% in the second half. That gets us back to where we were pre-COVID just breaking that down. First of all, churn. Churn has continued to reduce. Growth churn has continued to reduce, and we are now operating at a lower level of churn than we were on a pre-COVID environment. So that's very pleasing. I think also what we've seen in the second half is a strong pickup in up-sell and cross-sell, particularly, up-sell in medium segment in North America. And that's principally coming through in Intacct and Sage 200. And then lastly, the other elements, I would just flag up about renewal rate by value. We said very clearly at the beginning of the lockdowns 18 months ago, that we would work with our customers and that we would not be putting through price increases. We did not do that. We allowed for some discounts unwinds to come through. And so this second half performance has been driven not by price increases. Going forward into FY ‘22, where there is a fair value exchange between us and our customer base, then we will be anticipating some price increases. So all-in-all that was a strong second half, as you say. I think also if you look at -- if you look at the NCA, we've seen £140 million of NCA that is a very strong performance. And just to break that out for you about two-thirds of that was NCA and about one-third of that was reactivations across the customer base.
Steve Hare: And then just in terms of market, there's no doubt the North American market has come back strongly, continues to be very strong. I think we're also seeing the benefits of our product investment as we add functionality, particularly to Sage Intacct. And thirdly, we've also invested in the channel adding new partners and sort of increasing our rates. I think if you take those things together, that's what's driven the North American performance. 
Adam Wood: Thank you very much. Appreciate it. And thanks for letting me speak to in that.
Operator: Your next question comes from the line of Ben Castillo from Exane. Please ask your question.
Ben Castillo: Good morning. Thanks so much for taking my question. So I'll focus on one of your five strategic priorities. That number two is expanding beyond financials broadening the value proposition, feels like a very new avenue for Sage. What does this add to your TAM? And how would you add that functionality? Is that embedded into the Sage Intacct offering? Or is that going to be packaged as kind of additional separate solutions? And I suppose if you could comment on how you intend to build out that through targeted M&A or organically building these solutions yourself? Thanks.
Steve Hare: Yes, I think the investment that we've put into the digital network is really what enables us to start to do this more widely. So some of it may be built into the Sage Intacct core base, but that's what most of what we will do is add functionality that is interconnected on the digital network. And so we'll do some of that organically and we'll do some of that inorganically, but as far as the customer is concerned, the aim is to deliver to them a seamless solution, which is solving their wider pinpoints. And in this part of the market where we're selling Sage Intacct, we're talking about selling CFOs. So it's really about what is it that causes CFOs more work, more admin. And it tends to be around extended workflow, things like accounts payable or things like accounts receivable, how do you integrate into payroll, HR, et cetera. All of these things in bigger companies tend to be overly manual and our aim is to automate it and bring it all together so that CFOs can spend time looking forward rather than looking backwards.
Ben Castillo: Got it. Thanks very much.
Steve Hare: Thanks.
Operator: Your next question comes from the line James Goodman from Barclays. Please ask your question.
James Goodman: Good morning. Thank you very much. I'll ask you one around the margin outlook claims, and I'm really sort of the focus of that is I guess, historically, you've talked a lot about revenue growth being the priority. Clearly the recurring outlook is solid 8% to 9%, but I had in my mind that really we were looking for double digit growth before you started to meaningfully focus on the margin. So maybe you could talk a little bit about the tradeoff there and at any color that you can to the outlook. And I guess the sort of topics I'm thinking about within that would include also the restructuring that you announced at the end of September and the reinvestment there as well as any potential sort of wage inflation on the other side of the current inflation debate? Thank you.
Jonathan Howell: Yes, James. Thanks for the question. And it's important to us well. When we started this year, we guided to up to 300 basis points reduction in margin to put in additional investments in those areas of the business that we needed to drive the growth rate, particularly in cloud-native and particularly in Sage Business Cloud, and that's paid dividends. I mean, you can see that during the course of the year, where we've seen in a cloud native ARR grow by 44% and Sage Business Cloud grow by 19%. It was more second half loaded in terms of the rate of investment, which is exactly what we expected. And we've landed at 19.3%, which I think it was more or less in line with consensus. Going forward, we are keen to continue to invest at pace. And however, we will make sure that the rate of growth of revenue is in excess of the rate of growth of the cost base. And that will therefore drive margin expansion during the course of this year. Currently, market consensus is around 50 to 100 basis points increase in margin. That feels about right at the start of the year, but we will dynamically accelerate or decelerates investment depending upon the growth opportunities that we see. So I think just to sort of give you a clear sort of view of where we're headed. Yes, we're going to see margin expansion. Yes, we're going to determine that in the context of the growth opportunities that we see. But importantly that margin will begin to expand. And I think just on restructuring, you touched on that we announced in September, the removal of 800 roles from the organization. We have started that program. You can see one-off restructuring costs of £87 million that we put in place. That process will extend over a year or a year and a quarter, but will not result in any net margin expansion. All of that -- all of the savings as a result of that is reallocating investment and headcount, so those areas of the business that we need to invest in going forward. And that includes customer experience, brand, digital marketing to continue to drive this accelerated growth that we're seeing in cloud native.
Steve Hare: And I think just to emphasize James, as I said in the presentation, the aim now is very much, the revenue growth does come first if you like, but it is our intention to scale both revenue and earnings in absolute terms. I'd say, we've obviously had a period where we've slimmed down. We've sold non-core businesses, et cetera. We very much, now we're entering a phase where it's about scaling.
James Goodman: Very helpful. Thanks for the detail.
Steve Hare: Thanks.
Operator: Your next question comes from the line of Michael Briest from UBS. Please ask your question.
Michael Briest: Yes. Thank you. Good morning. One from me, just on the cost base, Jonathan, if you help sort of to give us the R&D and sales and marketing numbers, I think you gave a G&A number. I didn't quite catch it. But if I look at sort of the gap between total effects of one, three, five, seven, and R&D and S&M, it's £400 million, are there some other costs going through there? Can you sort of tell us what those are? And I guess related, if you haven't reversed the £11 million of COVID provisions, you would have had a bigger than 300 basis point larger decline. So can you talk about the cost progression in 2021? What meant that it was sort of more than you sort of initially budgeted for? Thank you. Or had you planned to reverse the £11 million?
Jonathan Howell: Yes. So just in terms of breakdown of the cost base, we'd be blended very much where we expected. We've got sales and marketing coming in at 42% of recurring revenue that was up by 150 basis points. And that was a critical redirection of spends. Secondly, we seen product in R&D come in at about 16%, probably just slightly lower than we'd initially planned with a 120 basis points increase. And we tapped G&A flat at about 11%. And so therefore the balance is effectively cost to serve where we've seen a slight increase as we onboard all of these new customers that we can we're winning through the NCA success that we're having. I think just in terms of the release of the additional COVID bad debt provision that we put in place, you put that in place 18 months ago, it was for £16 million, and that was over and above the normal IFRS 9 provision. Throughout the 18 month period, we've continued to test the models that support that provision. And clearly, when we got to the year end with the macroeconomic outlook across many of our territory is improving significantly. Then the modeling suggested that we should release about half of that provision. Now to your question, have we therefore sort of effectively missed the margin guidance of about 19% or so, if it wasn't for that release, the answer is no, because as you appreciate, there are a whole number of various provisions and accruals in the balance sheet date. And this is just one that we chose to highlight at the time of going into the COVID lockdowns 18 months ago. So that is more than offset by other kinds of provision set ups that we made during the course of the year. So it doesn't have an impact on the underlying trend of margin.
Michael Briest: Okay. Would you expect to reverse the rest of it in H1 things continue on this?
Jonathan Howell: To be determined, but we will at each balance sheet date, we will continue to run the modeling.
Michael Briest: Thank you.
Operator: Your next question comes from the line of Stacy Pollard from J.P. Morgan. Please ask your question.
Stacy Pollard: Hi, thank you. You've just about completed the disposal program and your -- I guess the question would be, are you looking more aggressively at M&A again, is that small bolt-ons or would you consider something larger or more transformational?
Steve Hare: Yes. Hi, Stacy. So, yes, the disposal program, as I said, is largely either. I think we're looking at similar acquisitions to what we're doing in the past. So I've said before things in the kind of potentially hundreds of millions of purchase price. But we wouldn't rule out something a bit more transformational if appropriate. But I think, yes, the focus at the moment is on continuing to add that additional functionality technology into the digital network. And so you'll see us doing a number of those types of acquisitions. It's obviously very competitive at the moment, to state the obvious, valuations are relatively high. So we will remain disciplined, but we are definitely looking.
Stacy Pollard: Thank you.
Operator: Your next question comes from the line of Gautam Pillai from Goldman Sachs. Please ask your question.
Gautam Pillai: Great. Thanks for taking my questions. I had the one on Intacct, so the Intacct growth in North America was perhaps a bit slower than previous quarters. Was there any specific reason for that? On the other hand, internationally, Intacct seems to be doing quite well. So can you just comment on the pipeline you see for Intacct internationally and how the strategy is working and how should we think about that business portfolio growing going forward? Thank you.
Steve Hare: Yes. I'll let Jonathan talk about the international M&A. Just on North America, in the second half, if you look -- if I look at the pipeline for North America, and I look at the growth in the second half, there's two dynamics. New customer acquisition is very much back to sort of pre-COVID levels and above. And what happened during the pandemic was the renewal rate by value came down i.e. we did less cross-sell and up-sell to our existing customers in North America Intacct than we would do traditionally. But again, as I look into the Q3, Q4, and I look at the current levels of activity, and that's very much coming back. So Intacct on a run rate basis is already back to the sort of great rates that we saw pre-pandemic, which is the run rate of about 30% growth. But Jonathan, do you want to comment a bit about international?
Jonathan Howell: Yes. So yes, I mean, just to endorse Intacct in North America, both NCA and up-sell and cross-sell of Intacct have accelerated rapidly during the course of the second half. And it's operating back on an elevated renewal rate by value. We've been way above where we've been over the last couple of years. And then in terms of international, if you take all of the other regions outside of North America, we're reporting at this year-end a total ARR of £6 million, and that compares to £2 million 12 months ago. And now in particular in the UK, there's very strong and positive feedback from the new customer base and from the partner channel. So we anticipate for this should accelerate as well during the FY ’22.
Gautam Pillai: Can I just fall off and ask, who are you replacing within Intacct, especially in UK and such market?
Steve Hare: So usually it's graduates from smaller offerings say, as companies grow and they want more sophisticated or more comprehensive systems, they tend to upgrade. So sometimes it can be a graduate from Sage's products or it might come from as Xero or Intuit. But it's typically from those coming from a smaller and because you're growing, you need a more sophisticated system.
Gautam Pillai: Got it. Thank you so much.
Operator: Your last question comes from the line of Paul Kratz from Jefferies. Please ask your question.
Paul Kratz: Thanks for letting me on. Just one question for me. I mean, when we think historically about the renewal rates by value, it's been notoriously sticky around this 100%, 101% pre-COVID. And I guess, to what extent is it realistic that with recovery in pricing kind of a structural reduction in gross churn, do you actually get a rebasing of that renewal rate as we exit the pandemic to maybe a level above 101%, or maybe even 200% to 300%. Any commentary on that would be helpful. Thanks. 
Steve Hare: Yes. So I think in this context, it's important to differentiate between the smaller businesses and the more mid-sized businesses. So one of the things that if you like hold back a little bit, the renewal rate by value for smaller businesses is typically the volume churn is higher, right? So typically your volume churn is more like 15%, 16% per annum, whereas with midsize businesses, your churn is often annualized single digit, so 9% or 10%. So in order to get renewal rate by value up above 100% for smaller businesses to state the obvious you have to work a lot harder, I think for midsized businesses, I mean, historically I think we've said in the past that at its peak, Intacct was managing to achieve our renewal rate by volume of about 108%. And if you sort of go back to some of the comments I made about the digital network over time, as we make more and more things available to our existing customers, that should give us particularly with midsized businesses, an opportunity to get that renewal rate by value up. But it is very, very sensitive, particularly with small business to how the volume churn ultimately settles down. So we tend to plan, or we tend to talk on the basis of staying on a blended rate of around 100%. But there may well be years and there may well be periods of time, where we're able to do better than that, particularly in the midsized businesses. 
Paul Kratz: That's very clear. Thank you.
Operator: There are no further questions at this time. Please continue.
Steve Hare: Okay. Well, thanks so much everyone for attending today's presentation. As always, we really appreciate you taking the time, and if you have follow-up questions, please feel free to contact James and the IR team, and we'll be happy to deal with things during the course of the day. But for now, thanks very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.